Operator: Greetings, and welcome, everyone, to the IZEA Worldwide, Inc. Fourth Quarter 2023 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ryan Schram, President and Chief Operating Officer. Please go ahead.
Ryan Schram: Good afternoon, everyone, and welcome to IZEA's earnings call covering the fourth quarter of 2023. I'm Ryan Schram, President and Chief Operating Officer at IZEA. And joining me on the call are IZEA's Chief Financial Officer, Peter Biere; and IZEA's Founder, Chairman and Chief Executive Officer, Ted Murphy. Thanks for being with us today. Earlier this afternoon, the company issued a press release detailing IZEA's performance during Q4 2023. If you would like to review those details, all of our investor information can be found online on our Investor Relations website at izea.com/investors. Before we begin, please take note of the safe harbor paragraph included in today's press release covering IZEA's financial results and be advised that some of the statements that we make today regarding our business, operations and financial performance may be considered forward-looking, and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. We encourage you to consider the disclosures contained in our SEC filings for a detailed discussion of these factors. Our commentary today will also include the non-GAAP financial measure of adjusted EBITDA. Reconciliations between GAAP and non-GAAP metrics for our reported results can also be found in our earnings release issued earlier today and in our publicly available filings. With that, I would now like to introduce and turn the call over to IZEA's Chief Financial Officer, Peter Biere. Peter?
Peter Biere: Thank you, Ryan, and good afternoon, everyone. I'll review operating results for the quarter ended December 31, 2023, compared to the prior year's quarter and discuss certain balance sheet highlights. Total revenue for the fourth quarter of 2023 was $8.9 million, 1% higher than the prior year quarter. Managed Services revenue totaled $8.8 million during the fourth quarter of 2023, which was $0.4 million or 4.2% higher than the fourth quarter of 2022. Revenue from our nonrecurring customer totaled $0.4 million in the current quarter and $1.7 million in the prior year's fourth quarter. Revenue from our ongoing customers totaled $8.4 million during the quarter, 25.1% higher than the previous year's fourth quarter, which totaled $6.7 million. This increase came from comparatively stronger bookings from our ongoing customers in the second and third quarters of 2023. Managed Services bookings for the fourth quarter totaled $7.6 million compared to $7.9 million for the prior year's fourth quarter, a 2.8% decline. This decline was primarily due to lower bookings in the current quarter from our nonrecurring customer. Our transition away from this major customer, which we announced in early 2023 is now complete. The average delivery time between bookings and revenues stands at about 7.5 months, which has shortened from approximately nine months previously. Our Managed Services backlog, which represents the total of unrecognized revenue for contracts that are underway as well as recent bookings that we haven't started to invoice totaled $11.9 million on December 31, 2023. SaaS services revenue totaled $0.1 million in the fourth quarter of 2023, down 70% from $0.4 million in the prior year quarter. We successfully transitioned away from our IZEAx platform in the second quarter of 2023. Our new platforms, Flex and izea.com offer enhanced features and lower per user revenue models designed to drive subscriber expansion. We're beginning to see initial signs of growth in the current quarter with revenue growing sequentially from the third quarter of 2023. Our total cost of revenue was $4.7 million in the fourth quarter of 2023 or 53.1% of revenue compared to $5.7 million or 65.3% of revenue in the prior year quarter. Our blended gross margin, excluding labor costs, improved in the fourth quarter. Expenses other than the cost of revenue totaled $6.4 million in the fourth quarter of 2023, up 42.5% from $4.5 million in the prior year quarter. Sales and marketing costs totaled $2.6 million during the fourth quarter, up 18% compared to the prior year quarter due primarily to higher spending on brand awareness and demand generation activities to drive bookings growth. General and administrative costs totaled $3.6 million during the fourth quarter, up 97.6% from the prior year quarter due primarily to higher human capital and contractor costs and non-cash stock-based compensation costs. Our net loss in the current quarter totaled $1.5 million or negative $0.09 per share on 16.4 million shares compared to a loss of $0.9 million or negative $0.06 per share on 15.5 million shares. These share counts are adjusted for the 4:1 reverse split effective on June 23, 2023. Adjusted EBITDA was negative $1.1 million for the fourth quarter of 2023 compared to negative $3 million for the prior year quarter. As of December 31, 2023, we had $64.2 million in cash and investments, an increase of $1.5 million from the beginning of the quarter due primarily to strong accounts receivable collection and higher year-end accrued contract liabilities. We earned $662,000 in interest on our investments during the fourth quarter, up about 35% over the prior year, reflecting improved interest rates. Lastly, we do not have any debt on our balance sheet. With cash on hand and liquidity from our investment portfolio as required, we believe we're in a solid position to execute on organic business growth and acquisition opportunities that lie ahead. With that, I'll turn the call back over to Ryan.
Ryan Schram: Thanks, Peter. Over the past year, our team at IZEA has been focused on implementing a series of strategic changes within our operations aimed at enhancing our business performance and driving long-term value creation. These improvements span across areas such as process optimization, organizational structures, technology integration, customer diversification and go-to-market pricing modifications. We're now beginning to see measurable benefits to the business, reflecting positively in our overall outlook for 2024 and beyond. These changes are not just about short-term gains. They are part of a larger vision to ensure sustained growth, profitability and value generation for our shareholders. Today, Ted and I are eager to delve into these advancements, detailing the tangible impact they're having and discussing how they're positioning us for a stronger future. First, let's talk about globalization and diversification. Throughout 2023, we made investments in team members and markets outside of North America. Members of Team IZEA now operate in 95 cities on five continents, servicing clients, building technology and pushing IZEA forward. We actively optimize the cost and capabilities of talent with the needs of both of our internal organization and our client base, enabling us to become more efficient over time. As Ted will detail later, this has led to large productivity gains over the past few years, and it has also unlocked new opportunities with corporate giants around the world, including Tencent, ByteDance and Techno in China and most recently, Kia from our new local presence in South Korea. We intend to continue our efforts to expand our footprint in strategic locations around the globe where we see greenfield to provide a differentiated and credible solution for brand leaders. Another priority for IZEA has been customer diversification by expanding the types of software-based solutions we bring to market to accompany our award-winning full-service team of professionals. We kicked off the year on January 18 with the unveiling of IZEA Flex, our next-generation influencer marketing platform built for brands and agencies of all sizes. In Flex, IZEA introduced some of the industry's most affordable and innovative solutions to disrupt an overpriced legacy set of competitors that we observed in the market. At the same time, we believe that there was notable potential in the advancements around artificial intelligence to evolve our product set for the better. Beyond the buzzword bingo often thrown around just to sound relevant, IZEA's team studied practical use cases and announced the release of a whole new offering, named FormAI at the Cannes Lions International Festival of Creativity in late June 2023. FormAI has been a driving force in the growth of registered users on izea.com, which crossed the one million mark during the fourth quarter of 2023. These tools are fueling increased usage of izea.com with a growing number of customers opting for paid subscriptions. Globalization and continuous innovation underpin our organic growth strategy, but also play important roles in our acquisition strategy as well. Many of our acquisition targets reside outside of the United States, and we'll expand IZEA's geographic footprint, providing access to new ideas, new talent and new customers. Other targets serve as a catalyst for broadening our creator economy-centric offerings and capabilities. On December 3, we announced our acquisition of Hoozu, Australia's leading influencer marketing company headquartered in Sydney. The company serves a roster of the region's most innovative brands, including Bunnings, Emma Sleep, Super Cheap Auto and Ryobi. As a respected leader in its home market, Hoozu will operate as a standalone wholly owned subsidiary of IZEA. The acquisition not only expands and diversifies the company's existing geographic footprint, but it also adds new capabilities in other areas of the growing creator economy such as creator talent representation. Early on into our working relationship post-closed, the Australian Influencer Marketing Council or AIMCO, named Hoozu, Best Boutique Influencer Marketing Agency at annual awards ceremony, which portends great things ahead for our growth strategy in the region. Another key theme you've heard us refer to in recent calls is our approach to reshape the modern definition of how creators can deliver value to leading brands. As the creator economy has evolved and matured, so too have the strategic needs that marketers are seeking creators to solve. While influencer marketing remains one of the hottest areas of global growth, the narrative has expanded to include a range of approaches that drive highly measurable results, including creator generated content or CGC, advocacy marketing and even precision paid creator amplification Knowing that these are hot buttons on the top of mind to chief marketing officers, it informed our second acquisition of 2023, that of San Francisco-based Zuberance, the pioneering advocate marketing company. Zuberance provides services and software that enables marketers to transform their static CRM databases into vibrant communities of their top customers, engaging these communities to serve as advocates for brands, all of which leads to low-cost content creation and meaningful business outcomes. The practice of advocate marketing leverages the authentic voices of a brand's most satisfied customers, transforming their organic enthusiasm into an influential social campaign. This approach rooted in genuine customer experiences and satisfaction perfectly complements influencer marketing by adding both depth and scalability. IZEA's acquisition of Zuberance signals a strategic move towards harnessing the combined power of influencer presence and authentic customer advocacy within the integrated marketing ecosystem to redefine what a creator is and can be, both now and into the future. Before I turn the call over to Ted for his remarks, I also want to highlight the wide range of industry honors, awards and recognitions IZEA received over the last 12 months. This is a particularly prideful point for our leadership team as the company's proverbial trophy case differentiates IZEA amidst the hyper-fragmented and noisy trader economy, while demonstrating credibility, not just capability to leading brands selecting whom they wish to award their business to. In all, 2023 was a record-setting year for IZEA, winning nearly 20 industry honors for our campaign work and being named Best Influencer Marketing Company at the MarTech Breakthrough Awards. We're particularly proud of our work on the launch of Barbie for Warner Bros, which received 4 Platinum 2023 Weta Digital Awards, including Best Influencer Endorsement. This, as part of our broader corporate mission to champion creators and serve leading brands, is a critical aspect, not only to our long-term corporate strategy, but a key driver to our lasting success. We were also humbled to earn top recognitions for who we are as an employer and what we've built as a workplace culture, including Best Company Leadership, Best Company Outlook and Best CEO from Comparably to honors from the Stevie Awards and being a certified great place to work. We're proud of these Culture Awards in 2023 in particular, because it was a year of great change in a time where our team had to extend well outside of their comfort zone. Leadership comes easy in times of smooth seas, but our team navigated a particularly difficult year while maintaining the respect and admiration of our team, clients and industry at large. I'd now like to welcome our Founder, Chairman and Chief Executive, Ted Murphy to the call to share his thoughts on our 2023 performance and a look at the road ahead. Ted?
Ted Murphy: Thank you, Ryan. In December of 2019, we embarked on an ambitious journey to significantly expand our company over a three year period. We set our sights on achieving an average annual revenue growth rate of 30%, with the objective of reaching a revenue landmark of $38 million by 2023. Our revenue for the full year of 2019 stood at $18.9 million, and our target was to double this figure within three years. We ended 2023 at $36.2 million in revenue, just shy of that $38 million goal. That said, we delivered $41 million in revenue in 2022, well above our target for that year. When measured over a three year period from 2020 to 2023, we generated $107 million in revenue versus a cumulative three year target of $87 million. Growth does not always follow a straight path, especially in an industry that is as dynamic as ours. Over any given time frame, there will undoubtedly be fluctuations. Although we track and communicate our progress in quarters and years, concentrating exclusively on these intervals may result in a narrow perspective. Over the past three years, IZEA's growth has been organic in nature. While we made two small acquisitions in December of 2023, prior to the acquisitions of Hoozu and Zuberance, we had not made an acquisition in five years. Not only have we driven material organic revenue growth, but we have done so while becoming more efficient. Our average revenue per FTE in 2020 was $161,000. In 2023, it was $291,000, an 80% increase in productivity. Reflecting on the remarkable journey of the past three years, it's astounding to realize how unpredictable the events that unfolded were. The resilience, creativity and dedication demonstrated by Team IZEA throughout this period are truly commendable. And I'm filled with an immense pride for what we've collectively achieved against all odds. Looking forward, I'm eagerly anticipating our next significant stride toward growth, confident in our team's potential to reach new heights. Although we have always refrained from offering quarterly guidance, we recognize the importance of sharing our long-term vision with our shareholders. Today, I will outline our strategic objectives for the forthcoming three years, providing a clear roadmap of where we aim to be and how we plan to achieve our goals. Just as our goals for the past three years were ambitious, so too will be our goals as we look to what we want IZEA to be in 2026. Once again, our goal is to double our annual revenue over a three year period. And we are basing our 2026 target on the original $38 million goal we had set forth for 2023. We intend to reach $76 million in annual revenue by the year 2026. While revenue growth is key, it is merely one measure of our success. The investments we are making are being done with an eye on sustainable profitability, and we intend to be in a position of self-sustainment by the end of this next big push. Profitability will be driven by the quality and diversity of the revenue we capture as well as the overall productivity of our team. Team IZEA must continue to improve our average revenue per FTE as we grow, and we must simultaneously increase our customer base and our revenue streams. Securing a major client win is something to be celebrated. It signifies trust in our capabilities and contributes significantly to our top line. However, those wins also come with trade-offs, typically in the form of lower margins and outsized customer requirements. In addition, parting ways with these customers can create significant gaps in revenue, as we experienced last year with the loss of a major customer that had previously accounted for approximately 20% of our revenue. To mitigate such risks moving forward, customer diversification is essential. It reduces our resilience on single clients, making us less vulnerable to fluctuations in specific client relationships or industries. Over the next three years, our aim is to attract a broader range of clients across various sectors and regions, fostering long-term partnerships with IZEA. This strategy will enhance our stability, predictability and profitability. Achieving our three year revenue goal requires a focused approach over the coming years. We must ensure continued performance from our Managed Services team, aggressively grow our software client base and strategically acquire businesses that contribute positively to our growth and profitability. Our Managed Services team is well positioned to deliver growth this year. There are two trends that I'm particularly excited about in the early days of 2024. The first is a recovering win rate. We are seeing our teams start to close a higher percentage of opportunities, converting pipeline into bookings, which will in turn convert to revenue throughout 2024. The second is robust pipeline development. We kicked off January with our single biggest month of new opportunity pipeline in our history. February and March were also strong, making Q1 an all-time record quarter for both pipeline dollar amount and quantity of opportunities. We'll be reporting our official Q1 bookings in the next two weeks, but I'm pleased to share that we expect to report double-digit year-over-year growth in bookings. Our software business underwent a radical and rather painful transition last year. We accelerated the migration from IZEAx to Flex and dramatically cut the cost of our software across the board, knowing full well the impacts it would have on revenue near term. We also released a slew of generative AI tools for creators and marketers, understanding that many of these tools are still very much in their infancy and that the technologies themselves are rapidly changing. We did this all while restructuring the product teams. We reduced headcount, eliminated inefficiencies and delivered an incredible amount of features throughout 2023. On our Q3 call, I shared that I believed that Q3 was our low point for SaaS licensing revenue and that we would begin to see a rebound in Q4, we did. We saw licensing revenue for our core software offerings grow in the quarter, bolstered by an all-time record number of active SaaS customers, which has continued to grow in Q1. The overwhelming majority of our increase in customer count has been driven by creators and marketers using FormAI, which continues to add new features and increases in the quality and variety of content types it provides. We believe the adoption of these content creation tools will continue to grow as the underlying technology and foundational models we have incorporated into FormAI evolve. In addition to our organic software growth, we are also benefiting from the acquisition of Zuberance in December. This acquisition added a relatively small customer base that we intend to grow. Since the acquisition, we have already welcomed a brand-new Fortune 500 Zuberance customer. A customer that is completely new to the IZEA ecosystem. As we look to 2024, we believe that software licensing revenue will show a rebound as the year progresses. While this is still a relatively small part of our business, our intent is to grow the subscriber base of both creators and marketers as customers. AI will play an ever-increasing role in our software, and we are committed to pioneering innovative uses of this technology in our space. In December, we successfully completed the back-to-back acquisitions of Hoozu and Zuberance, marking the first steps forward in the M&A strategy I outlined last year. These acquisitions are emblematic of our commitment to engaging in transactions that are not only accretive, but also strategically aligned with our core business that remains squarely focused on the creator economy. Hoozu and Zuberance are currently being integrated into our ecosystem, bringing with them new customer segments and specialized expertise that complements IZEA's existing services. These partnerships are already yielding promising synergies, validating our approach of targeting companies that are complementary to each other. Our strategy ensured that these transactions were structured to align the interest of all parties with a significant portion of the compensation for the acquired companies' management tied to performance milestones in the coming years. This alignment is crucial for sustained growth and underscores our commitment to maintaining a strong balance sheet. Our acquisition philosophy remains unchanged. We continue to seek opportunities that present stable operations, manageable risks and the potential for expense consolidation and upside post-acquisition. Our solid cash reserves and public market currency enable us to act decisively when such opportunities arise. Looking forward, our strategy for growth remains two-pronged. On the one hand, we are committed to driving organic growth by enhancing our product offerings, improving customer experiences and entering new markets. This will enable us to execute larger global campaigns with increased efficiency and creativity. On the other hand, we are actively exploring further acquisitions that complement our existing services and bring valuable new capabilities and markets to our portfolio. We are particularly focused on the next two years, during which we aim to accelerate our acquisition strategy. Our goal is not only to expand our market reach, but also to ensure customer diversification, reducing our reliance on any single customer or sector. This approach will enhance our resilience, enabling us to weather industry fluctuations and capitalize on emerging markets. The acquisitions of Hoozu and Zuberance are just the beginning. We are on a path to not only grow but also redefine our industry. We remain vigilant in our search for opportunities that align with our vision and are committed to a strategy that balances aggressive growth with financial prudence. I want to conclude today's call with the acknowledgment that IZEA's stock is incredibly undervalued. We are currently trading at less than the value of our cash, ascribing no value at all to the operating company. We have no debt, no warrants outstanding, no preferred stock outstanding and we are poised to grow. While I recognize that we faced a number of challenges that could have clouded the outlook last year, those are now behind us. The Board and Management are committed to creating value for our shareholders, and we want to be clear that proactive measures of all types are on the table. We appreciate your support and believe that IZEA is worth much more than what is reflected in our current market cap. Thank you all for your time today. I will now open up the call for Q&A from the analyst community.
Operator: [Operator Instructions] And our first question comes from the line of Jon Hickman with Ladenburg Thalmann. Please proceed.
Jon Hickman: Ted, can you hear me okay?
Ted Murphy: I sure can.
Jon Hickman: Can you elaborate a little bit on your gross margins going forward?
Ted Murphy: So, we're expecting to see those improve because we have parted ways with that one large client. However, it's important to understand that there is a mix of gross margins in the U.S. versus things that are coming out of APAC and our emerging markets team. So as those bookings and the revenue continues to increase there, it will have some impact on margins. But we don't think that they'll be as depressed as they were when we had that one large customer.
Jon Hickman: And the margins, as the SaaS revenues grow, shouldn't that help margins?
Ted Murphy: Yes. As the SaaS revenue grows, that will also contribute to more positive margins.
Jon Hickman: Okay. And could you opine a little bit about operating expenses?
Ted Murphy: You're going to see the operating expenses rise with some of the acquisitions that we've done, but we do intend those to be accretive. So we're working to optimize those, it's going to take a little bit of time to get through that. But I think in the back half, you're going to see some of those cost optimizations come to fruition.
Jon Hickman: Okay. So you are expecting revenue contributions from the two acquisitions in Q1 and beyond?
Ted Murphy: Yes. Yes. Yes. And you can see in our filings, there are some disclosures about the size of revenue from Hoozu and you can see some of the impacts on software licensing in December from Zuberance.
Jon Hickman: Okay. So maybe this is a question for Peter. But as I model things out, given revenues improving somewhat to the high 40% range -- I mean gross margins in the high 40% range. It would appear to me that with your current kind of operating structure. Do you need something like $47 million -- $46 million, $47 million to breakeven on an adjusted EBITDA. Does that sound feasible in the ballpark?
Peter Biere: Well, no, I don't want to give an estimate on what our breakeven point is. That's not unreasonable view. I think you might -- depends on how fast we acquire revenue and its profitability. If we get somebody that's adding to our bottom line right away, that's good, but we still have a ways to go to be past our breakeven in the U.S. So I'm not going to -- I don't want to validate your numbers specifically, but it's within a reasonable range, maybe on the low side.
Jon Hickman: Okay. Ted, and if you hit your $76 million in three years, will there be bottom line profitability?
Ted Murphy: Our goal is to get to profitability within that three years, yes.
Jon Hickman: Okay. Thanks. That's it for me.
Ted Murphy: Thank you.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I'd like to hand the call back to Ryan Schram for closing remarks.
Ryan Schram: Thanks, Joe, and thanks to everyone for joining us this afternoon. And as a friendly reminder, if you like more information on IZEA, please visit our Investor Relations site at izea.com/investors. We appreciate you being with us today. Take care, and we'll talk to you again soon.
Operator: This concludes today's conference. You may now disconnect your lines. Enjoy the rest of your day.